Carol Schumacher: Welcome to the Wal-Mart Stores second quarter earnings call for fiscal year 2008. This is Carol Schumacher in the Investor Relations department. The replays of this call and rebated materials about the quarter are available on our website. Here’s the agenda for today’s call. Lee Scott will kick it off with a look at the overall company and thoughts for the second half of the year, Tom Schoewe has the details on consolidated financial results. Eduardo Castro-Wright will update you on the progress and plans for our U.S. business; and Charles Holley has the international and SAM’s CLUB review for the quarter. Tom will come back and close with our guidance for third quarter comps, as well as an update on our earnings per share guidance for the third quarter and the year. As a reminder, the store counts and square footage updates through the second quarter are available on our website, walmartstores.com/investors. We also have posted on the site an update to the return on investment and return on assets schedule which reflects our performance through the second quarter. And, there is a new investment community communications policy which details how we handle discussions about everything from guidance to details on our business. One key point I’d like to reiterate, we provide an update to earnings guidance after the second month of the quarter when we’re doing our sales releases. Thanks and let’s move onto the results.
Lee Scott: Welcome to the Wal-Mart Stores Incorporated report on the second quarter of fiscal year 2008. Although there are always some successes to talk about in our business, overall this quarter was challenging. Earnings per share from continuing operations for the quarter were $0.76 per share up from $0.72 per share for last year’s second quarter. Tom Schoewe will discuss the non-recurring benefit we received from adjustments recorded in Q2. We generated approximately $92 billion in total company sales in the second quarter. Although some people will report that we’ve had record sales and earnings, our underlying operating performance, excluding those one-time items, was not what we expected of ourselves. In the Wal-Mart US segment, we certainly have made improvements in some areas of the store, most notably grocery, pharmacy and entertainment. Having said that, merchandising overall is still not where it needs to be. The US team is working hard to improve this. At the same time, US consumers continue to be under difficult pressure economically. The top concerns among our customers are economic -- money and finances, the increase in the cost of living and gas prices. It is no secret that many customers are running out of money towards the end of the month. The pay check cycle is in fact more pronounced now then it ever has been. In the midst of these challenges, our customers are seeing the value and low prices that they would expect from Wal-Mart. I assured you earlier this year that Wal-Mart would be the undisputed price leader. We have increased the amount of rollbacks more than 20% this year in our US stores. We have also continued to strengthen our product offering with more name brands on our shelves. At SAM’S CLUB, we are pleased with the ongoing improvement in serving our members, particularly the small business owner. SAM’S once again grew profits faster than sales. Among our international operations, Argentina, Brazil and China turned in the strongest performances for the quarter and just last week we announced our joint venture with Bharti in India. We also are seeing in other countries in which we operate, trends similar to those being seen in the United States as consumers are pushed by higher fuel prices, higher interest rates including those on mortgages, utility costs and generally more financial pressure. All of this is resulting in softness in sales in countries like Mexico and Canada. As a company, we’ve been through challenging times before. We understand the dynamics of our customer and what is necessary to give us greater momentum going into the second half of the year. Our management teams are focused on three primary areas: first, great merchandising for all of our customers so they have a choice of quality products and low prices. Second, store execution at the highest standards. Our customers must leave the store happy because they find merchandise at low prices in stock and the checkout experience is easy and fast. Third, strong inventory management. We will continue to strive to report inventory growth that is half the rate of our sales growth. We are taking other steps to ensure we’re on track to perform in this tough environment. As the economy slowed down this past quarter in Mexico, Wal-Mex, for example, implemented an aggressive cost reduction program that embraced every area of its operations, excluding those directly related to customer service. All three operating segments have a strong management team in place and they each continue to strengthen the team with additional talent. All three teams also have a clear, focused strategy moving forward. In addition, we are following through on the plan we announced in June at our shareholders’ meeting to strengthen our capital efficiency program. We are executing the reduction in number of our US supercenter openings and we are committed to growth in our international operating segment, entering a market like India strategically in a way that creates and adds value. Our founder, Sam Walton, once said: you can’t just keep doing what works one time. Everything around you is changing. To succeed, stay out in front of change. We are committed to making the changes we need to improve our performance in the second half of the fiscal year. One thing that isn’t changing is our mission: Delivering low prices on great products to consumers who want to save money so they can live better. It is more relevant than ever before. We will, of course, continue to improve how we go about delivering this promise each and every day. I look forward to seeing many of you at our analyst meeting this coming October.
Thomas Schoewe: Lee, thank you very much, and thank you for your interest in Wal-Mart and for joining us here today. As Lee stated, the second quarter of fiscal 2008 was challenging. That being said, let’s look at some of the highlights. First, total net sales for the company were up 8.8%. In addition, US comp store sales were 1.9% in the second quarter. That’s above the 0.6% we reported in the first quarter of this fiscal year and above the 1.7% we reported last year in the second quarter. Income from continuing operations increased 4.1%. Earnings per share from continuing operations were $0.76 per share for the second quarter. Earnings per share from continuing operations for the second quarter were impacted by three items, providing a net benefit of $171 million after tax, or $0.04 per share. These included: first, accruals for general liability and workers compensation claims were reduced by $196 million; that’s after tax; second, recognition of $41 million in after-tax gains from the sale of certain real estate properties; and finally, charges of $66 million after tax for legal and other contingencies. Let me take a moment to further discuss what’s going on with our general liability and workers compensation accruals. Our accruals for general liability and workers compensation claims are influenced by many things, including historical claims experience which includes both frequency and severity, as well as many other actuarial assumptions. In calculating the liability, we periodically analyze our historical trends that includes loss development and apply appropriate loss development factors to the incurred cost associated with the claim. The good news is that during the last few years we have made a significant impact on how we managed claims so our loss experience has actually improved. As a result, the actuarially determined ultimate loss estimates primarily for fiscal years 2004 through 2007 claims were reduced this quarter. The reduction in ultimate loss estimates resulted from improved claims handling experience which impacts loss development factors and other actuarial assumptions. Before we get into the details of each of our three operating segments, let’s look at the consolidated financial performance. Consolidated gross margin was down 33 basis points for the second quarter, primarily due to the Wal-Mart US segment. Price leadership initiatives, markdowns, inventory shrinkage and product mix all contributed to the reduction in gross margin. Now let’s cover expenses. The consolidated operating expense percentage as a percentage of net sales for the quarter was essentially flat with the same period last year. As I just covered, there was the benefit of some of the items I discussed earlier. As a result, only SAM’S CLUB actually leveraged expenses. Other income continues to increase, up 12.8% from Q2 last year. In addition to SAM’S CLUB membership, other income categories include tenant leases, recycling income and financial services. Other income as a percentage of sales for Wal-Mart US operating segment increased by 6 basis points when compared to the same quarter in the prior year. This reflects increased recycling income and the benefits of financial services. In our financial services area, recall that we announced the roll-out of the Wal-Mart money centers in June. We plan to open approximately 1,000 of these centers by the end of 2008 to deliver money transfers, payroll check cashing, product care warranties and the Wal-Mart MoneyCard. Consolidated inventories were up 6.5% against a year-to-date sales increase of 8.6%. Let’s compare those numbers to what happened in the first quarter of this year. Sales in the first quarter grew by 8.3% in the first quarter and inventory actually grew by 10.3%. What you can see is that we’re making progress in inventory management. However, we did not meet our own objective of growing inventory at half of the rate of sales growth. We remain committed to improving inventory management between now and the end of the fiscal year. Return on investment from continuing operations for the trailing 12 months ended July 31, 2007 is 19.3% and compares to 20.2% reported in the same period last year. ROI without the impact of the acquisitions of Trust-Mart in China, CARHCO in Central America, Sonae in Brazil, and Seiyu in Japan was 20.2% for the 12 months ended July 31, 2007, essentially flat for the prior year. Net interest expense was $406 million, up 3.3% compared to the second quarter of last year. Our tax rate for the quarter was 34.3%. That’s down 43 basis points from the comparable quarter last year. We continue to expect the tax rate for fiscal 2008 to remain between 34% and 35%, although there could be some quarterly volatility. For the quarter, our cash from operations to average debt was approximately 38.6% and debt to total capitalization was 40.8% at the end of the second quarter of this fiscal year. This is below the 41.8% rate at the same time last year, despite year-to-date share repurchase activity. In fact, during the second quarter our board of directors approved a $15 billion share repurchase program replacing the $3.3 billion remaining on the prior $10 billion program. In this quarter we repurchased approximately $1.5 billion of our stock which represented about 31.7 million shares. We have approximately $13.6 billion remaining of the new $15 billion authorization approved by the board of directors in early June. Finally, let’s review capital spending. Our cash flow statement reflects payments for property, plant and equipment of approximately $7 billion during the first six months of this year, an increase of 2.3% over the same period last year. This is on track with our revised $15.5 billion estimate for total capital expenditures that I discussed at the June shareholder meeting. With that, I’d now like to turn things over to Eduardo Castro-Wright who will share with us what’s going on in Wal-Mart US.
Eduardo Castro-Wright: Thanks, Tom. As Lee mentioned earlier, the operating performance of Wal-Mart US was not up to our expectations. Operating income at the Wal-Mart Stores division increased 3.8% on a sales increase of 6.5% for the second quarter. Wal-Mart US comparable sales figures for the second quarter was 1.2%, driven by sales in grocery, pharmacy and entertainment. While we’re not happy with this quarter’s results, the running rate of our comps has improved and in fact, more than doubled in the second quarter when compared to the first quarter of this year. Pricing leadership is paying off nicely with market share gains in grocery, pharmacy and electronics. Supercenter food sales grew by more than 14% in the second quarter of this year and food comp sales were in the mid single-digits. Our pharmacy area continued to be above plan in sales with strength in all geographic areas. Electronics overall continued to perform above plan and above last year. In fact, we’ve noticed a number of analysts who have cited Wal-Mart’s gain in market share. We have seen the investment made in remodels of the Electronics department and our focus on great brands by Hewlett-Packard , Apple, Sony pay off as the consumer views Wal-Mart as a destination for electronics. Wal-Mart’s focus on providing top brands is yielding results. For example, we’re very pleased with the response we’re seeing to the sale of Dell personal computers in our stores. We started carrying a Dell laptop in Wal-Mart stores last week. Consumers today are pressed by a number of factors. Higher energy, higher gas prices and higher interest rates are all stretching their paychecks. Families with school-aged children are expected to spend more than $500 this year on back-to-school products. Our price campaign is designed to make a difference for families by saving them money where it counts most: on items like backpacks, pencils and socks. We’re encouraged by the response we’re seeing in back-to-school in August. 14 states have tax-free days during the start of this month. In addition, several states have delayed some school openings and we expect the trend we have seen with other seasons to continue. People are buying closer to the event. As reported by other retailers, we’re experiencing similar trends in soft sales of home products driven by the slow down in housing. In addition, Wal-Mart’s softness in the home and apparel categories has been compounded by the difficulties we have had this past year and have shared with you. The result is that home and apparel remain soft through the second quarter. We’re starting to see some improvement in certain home categories this month and we are pleased so far with the sales results and customer response to the test of the New Home that we are piloting in several markets. We continue to see pressure in all areas of apparel and continue to take pricing actions needed to sell through our inventory. We’re seeing some positive trends in sleepwear and men’s sports apparel. In the children’s areas, licensed apparel is picking up momentum and as I mentioned earlier on, we do expect our kid’s apparel categories to rebound this month. As expected, our price leadership position and markdown activity has pressured gross margins. Wal-Mart US gross margins as a percentage of sales is down by 50 basis points from the same quarter last year. This is driven by several factors. First, our price leadership position which I have already covered. Second, merchandise mix. Because of sales strength in entertainment and grocery, our sales mix is putting more pressure gross profit. The shortfall in higher margin apparel and home categories has contributed to the decline in gross margins, as has the higher level of markdown activity to clean up inventory. Third, higher shrink. Shrink is higher than this time last year. We have put in place programs to address the shrink increase at the store level, expect moderation in future periods. Inventory for Wal-Mart US increased 4.8% at the end of second quarter against the sales increase of 6.5%. While this is not yet meeting the goal of growing inventory at half the rate of sales, it is significantly better than the 9% increase we experienced at the end of the first quarter of this fiscal year. Excluding the adjustments Tom covered earlier, total expenses as a percentage of sales for the quarter were up approximately 19 basis points when compared to last year’s second quarter. We experienced higher group insurance costs, higher maintenance costs related to our store remodel program and slightly higher utility costs. While expenses are growing at a slower rate than inflation, we will continue to focus on expense control in the second half of the year. Labor productivity continued to contribute to lower wage costs and this partially helped to offset expense pressure. As we have discussed, the scheduling system that is rolling out throughout all U.S. stores allows us to serve Wal-Mart customers better by matching schedules to customer shopping patterns. It is important to reiterate what we said earlier. Our US management team is strong and the organization is focused on continuing the transformation plan that we shared with you 18 months ago. We are confident that this will lead to improved sales growth and returns. Let me pass the microphone to Charles.
Charles Holley: Thanks, Eduardo. Before we get to international second quarter results, let’s briefly discuss India. Many of you heard our announcement last week of a joint venture with Bharti Enterprises. Under the joint venture we will operate business-to-business wholesale, cash and carry stores and operate a back-end supply chain management business. The first wholesale cash and carry facility is targeted to open by the end of next year with ten to 15 facilities expected to open during the next seven years. This is the first country Wal-Mart has entered organically in ten years. We will initially target tier 2 and 3 cities in Northern India where our business to business customers, retailers like Bharti and others, as well as restaurants, hotels and other businesses are currently served by a fragmented and inefficient distribution system. We expect this business customer to respond well to our product offerings. Now let’s discuss international second quarter performance. International net sales from continuing operations for the second quarter were $21.6 billion. That’s a 15.7% increase over the prior year. Our strongest sales performances in the quarter came from Brazil, China and Argentina. In a continuation of its first quarter performance ASDA in the United Kingdom delivered very positive sales results for the second quarter. The second quarter impact of currency valuation on sales generated a benefit of $1 billion, driven primarily by strengthening in the British pound, Canadian dollar and Mexican peso, partially offset by a weakening Japanese yen. Segment operating income from continuing operations for the second quarter was $1 billion. Gross margin for the segment was up slightly versus the second quarter of last year, largely as a result of improvements in the United Kingdom and Brazil. Operating expenses as a percentage of segment sales were up for the second quarter of fiscal 2007, largely due to the impact of the Trust- Mart acquisition and an increase in Brazil partially offset by savings in Mexico. Operating income grew slower than segment sales for the second quarter primarily because of sales pressures in Mexico, the Trust-Mart acquisition and India development activity. The second quarter impact of currency valuation on operating income was a benefit of $45 million. Now let’s discuss highlights by country. In the United Kingdom, ASDA has consistently outperformed the market this year. In an increasingly competitive environment the ASDA price leadership strategy has resulted in steady market share gain. Financially, this was a solid quarter with ASDA outperforming sales plans. Growth continues to be driven by strong traffic increases through comp stores and new openings. According to the T&S industry data, market share increased 0.2 percentage points year-on-year to 11.7% in the 12 weeks to July 15. Comp sales were up in the mid single-digits despite much tougher prior year comparables in very poor seasonal weather. Consumer spending recently has been impacted by rising interest rates, leading to more challenging market conditions and slowing growth, but despite this, ASDA is gaining market share. The progress on customer numbers and market share gain has been steady over the last 18 months and demonstrates the success of the ASDA strategy, which is even more relevant given the more value-oriented consumer. Customer reaction has been most positive in the following areas: ASDA has strengthened its price position with the biggest campaign ever on rollbacks across all product categories. ASDA has already been recognized as the price leader for the last ten consecutive years. Simplifying store assortment and in-store process has led to improvements in customer service, in stock and merchandising which gives range, clarity and shows value to the customer. Four new stores have been opened during the second quarter, including the first eco store in Shaw Oldham which opened last week and includes a number of global sustainability initiatives which should mean a 15% lower carbon footprint. In May, ASDA opened its largest ever distribution center in Doncaster, which is dedicated to general merchandise across the UK. The new DC is performing well and delivering benefits to in stock and productivity. Further progress is being made towards the goal of national coverage of home shopping for ASDA customers with order volumes up 40% so far this year. Now let’s turn to Wal-Mart Mexico. The second quarter was a challenging one at Wal-Mart Mexico. A combination of factors impacted second quarter sales there. First, Wal-Mex was impacted by tough year-over-year comparison versus fiscal 2007 due to the comparison against last year’s World Cup and the closing of the country’s presidential election. Second, the Mexican economy is experiencing slowing growth and softening customer demand. This is driven largely by trends and money transfers into Mexico which have undergone a significant deceleration in growth from near 30% in fiscal 2007 to only 4% year to date in fiscal 2008. Wal-Mex’s second quarter sales in real terms increased 8.6% versus fiscal 2007. After inflation, comp sales increased 0.9%. Although we have seen good growth in customer count there has been a decrease in the average ticket. Formats where consumer spending is more discretionary, like Suburbia and Bits Restaurant were the most affected. Likewise, we’ve seen positive growth in food and consumables while the more discretionary departments such as clothing and electronics have shown slower growth. The softening economic environment in Mexico gave our management an opportunity to challenge themselves and improve on what we do well: being the everyday low-cost operator. During the second quarter Wal-Mex initiated an aggressive cost reduction program leading to expenses that grew slightly slower than sales. This is despite the impact of expenses from the start-up of Wal-Mex’s banking operations. We are proud of our Mexican management team and their efforts in this regard. We are equally proud that despite macro economic concerns in Mexico, returns have continued to increase over fiscal 2007 levels. In Canada, total sales in Canadian dollars increased in the mid single-digits for the second quarter while comp sales grew in the low single-digits. Sales continued to be adversely affected by the unfavorable weather conditions affecting our seasonal merchandise. Sales were strongest in the food and electronics categories during the second quarter. The Canadian supercenters continued to perform well both in terms of customer count as well as average ticket. We will continue to expand the number of supercenters both through new and expanded stores as well as invest in the supply chain infrastructure to support this growth throughout the upcoming year. In August we opened our eighth Canadian supercenter. Several other supercenter projects are underway with phased openings during the balance of the year. Brazil sales were well ahead of plan in the second quarter and comps in real terms were in the low double-digits. Sales there have been driven by an improved price position, recovery of consumer purchasing power and global sourcing growth through a higher level of direct imports. Our bottom-line in Brazil was also ahead of plan for the quarter. We continue to be pleased with the performance of our total Brazilian operations, including the acquisitions in the northeast and the south. Argentina continues to deliver a strong performance with the sales well ahead of plan and comps in real terms up in the high teens for the quarter. Operating income in Argentina was also ahead of plan in the second quarter. Our new store format in Argentina, Chingomas, has continued its excellent performance with sales well above initial plans. Second quarter sales in Puerto Rico were up slightly over last year while operating income was slightly behind plan. Comp sales were slightly positive despite the continuing trend of lower consumption on the island. Wal-Mart Central America continues to deliver positive results. Sales in the region grew in the mid single-digits over the second quarter of fiscal 2007 while comps were in the low single-digits. Operating income there was ahead of plan for the second quarter. Turning now to Asia, in Japan we had seen increased customer traffic in the second quarter of fiscal 2008. Comp sales though were slightly down for fiscal 2007 due to the weak performance in seasonal apparel and home. Seiyu’s gross margin was slightly below plan as a result of the price investment program geared towards price leadership and increasing traffic. Second quarter operating income was below plan. Wal-Mart China comps grew in the mid double-digits for the second quarter during which we also opened one new store. Sales were only slightly off plan, partially due to temporary delays in store openings. We are excited about the steadily improving post-acquisition comp sales performance at the Trust-Mart group of companies. Now I’ll cover SAM’S CLUB. We continue to be encouraged with the performance and momentum of SAM’S CLUB. Overall, net sales for SAM’S grew about 8.6% to $11.4 billion during the second quarter of fiscal 2008. The segment’s second quarter comp sales excluding fuel operations increased by 5.9% over the prior-year quarter. Fuel contributed 0.6% to comp sales. About 70% of our CLUBs now have fuel stations. We were in a slightly inflationary environment for fuel for the major of the quarter. Other categories that experienced inflationary impact included dairy and tobacco. SAM’S continues to appeal most broadly to our business members. Consistent with trends from prior months, membership performance was strongest with small business owners. SAM’S CLUB was once again able to leverage operating expenses during the second quarter even excluding the division share of the benefit from the three items Tom previously mentioned. Also contributing to our operating income and growth was an increase in gross margin, most notably from fuel sales. SAM’S CLUB again grew profits faster than sales. Segment operating income was $447 million, that’s an 11.2% increase over the prior year quarter. Inventory increased 4.4% over the same period last year, essentially meeting the company’s goal of increasing inventory at less then half the increased sales. As the month of August gets underway, the CLUBs are completing transition from summer outdoor goods to a furniture gallery and back to college in many markets. September marks the next key seasonal transition time for the CLUB with the introduction of fall and Halloween merchandise. Let me turn it back to Tom for the update on our guidance for the third quarter for fiscal 2008.
Thomas Schoewe: Thanks, Charles. For the third quarter we expect a comp store sales increase for our US operations of between 1% and 3%. We expect earnings per share from continuing operations for the third quarter to come in between $0.62 and $0.65 per share. Now let’s chat about full year earnings guidance. At the beginning of the fiscal year, our guidance for the year was $3.15 to $3.23 a share. Our current forecast for fiscal 2008 is $3.05 per share to $3.13 per share. This revision reflects our need to improve underlying operating performance coupled with the macro economic pressure we feel in many of our major markets including the United States, Mexico and Canada. We’d like to thank you for your interest in Wal-Mart and have just a great day.